Operator: Good morning, and welcome to the AECOM Second Quarter 2014 Earnings Conference Call. Pardon for the delay, slight glitch on our end. I would like to inform all participants, this call is being recorded at the request of AECOM. This broadcast is the copyrighted property of AECOM. Any rebroadcast of this information in whole or in part without the prior written permission of AECOM is prohibited. As a reminder, AECOM is also simulcasting this presentation with slides at the Investors section at www.aecom.com. Later, we will conduct a question-and-answer session. I would now like to turn the call over to Paul Cyril, Senior Vice President, Investor Relations.
Paul Cyril: Thank you, operator. Good morning. I'd like to remind everyone that today's discussion contains forward-looking statements based on the environment as we see it today and, as such, does include risks and uncertainties. Our actual results might differ significantly from those projected in those forward-looking statements. Please refer to our press release or Page 2 of our earnings presentation and to our reports filed with the SEC for more information on the risk factors that could cause actual results to differ materially. Note that we are using certain non-GAAP measures as references in the presentation. The appropriate GAAP financial reconciliations incorporated into our press release, which is posted on our website. Please also note that all percentages refer to year-over-year progress, except where otherwise noted. Please turn to Slide 4. Beginning today's presentation is Mike Burke, President and Chief Executive Officer. Mike?
Michael S. Burke: Thank you, Paul. Welcome, everyone, to our second quarter 2014 earnings call. Joining me today is Steve Kadenacy, our Chief Financial Officer. On our last earnings call in February, I spoke about our strategy to position AECOM as the world's premier infrastructure firm, and I highlighted the integrated delivery platform we believe will enable our success. On today's call, I will provide an overview of this quarter's performance, Steve will review our financial results in more detail and then I will give you an update on our key markets, the progress we are making on executing our strategy and our strategic priorities. Then we will open up the call for questions. First, let's review our second quarter performance. We had record wins of $3.7 billion and record backlog of $20 billion. The wins were primarily driven by construction services, international markets and the U.S. government business. We are pleased by our continued strong wins and encouraged by what it means for future growth. Our net income was in line with our expectations. While Australia is still a challenge, the business appears to have stabilized. In the Americas, our design business remained slow, despite an increase in wins over the first quarter. I will talk about this in more detail later. Internationally, our business is growing in all regions, with the exception of Australia, and we saw backlog increases across Europe, Middle East, Africa and Asia. Turning to our global construction services business, we are seeing healthy growth both in the Americas and overseas. This is consistent with our strategy to enhance our position as a fully integrated firm with world-class construction management capabilities to complement our highly respected global design practice. All told, we are pleased with the results in the quarter and the trajectory of the new business pipeline. I will now turn the call over to Steve for a review of our second quarter financial results. Steve?
Stephen M. Kadenacy: Thanks, Mike. Please turn to Slide 5. Consistent with last quarter, our second quarter revenue results were varied across our geographies, reflecting the market conditions of our diversified global footprint. While overall, our revenue declined by 6%, our PTS net service revenue recovered to flat organic growth on a constant currency basis, despite declines in Americas design and Australia. Further, the Americas design business saw a sequential improvement in wins and backlogs, and in Australia, our backlog has stabilized over the last 6 months, and we recorded a profit for the quarter. Looking at the rest of our business, we continue to see strong performance in Europe and the Middle East and Asia, as well as our private construction business in the U.S. All of these businesses grew in the quarter. As expected, net service revenue in our MSS business was down. This decline was consistent with our strategy to grow our higher-margin non-Department of Defense work. Please turn to Slide 6. As the backlog indicates, we are encouraged by the progress we are making in executing on our growth initiatives. Our construction and government businesses were the 2 key drivers of strong wins in the quarter. On a combined basis, they contributed more than $2.3 billion in total wins, building upon their strong Q1 performance. Additionally, we generated a healthy increase in Europe and Middle East wins, reflecting the continued growth in these regions. These wins were spread across our business lines, with particular strength in transportation and construction services. Net service wins in our Americas design business were up 24% sequentially from our first quarter and flat for the prior year. We are seeing early signs of success, specifically in transportation, driven by a number of projects for light rail, airports, bridges and highways. Additionally, our environmental services business has strong bookings for the second quarter in a row. While there is more work to be done, we are pleased with these new wins and backlogs. Please turn to Slide 7. Now turning to our segment results. Looking at PTS, on a constant currency basis, net service revenue in PTS was flat. This was an improvement from a 4% decline in the first quarter. This improvement was due to increased growth in Europe, Asia, Africa, the Middle East and in our global construction business. Our operating margin declined 81 basis points to 7.9%. Driving the lower margin was the decline in revenue of the Americas design business, which has put pressure on our operating margin as we spread our fixed costs over lower revenue base. We also continue to invest in new business development initiatives to spur the top line growth. Please turn to Slide 8. Moving to MSS, as expected, gross revenue in NSR declined in the quarter by 16% and 35%, respectively, primarily due to the drawdown in Afghanistan-related work. This work is being replaced by new wins in non-overseas contingency projects that have helped propel the MSS backlog to more than $2 billion at the end of fiscal year 2013. Also evident in this quarter's results is margin improvement, resulting from the business shifts. Operating income margins improved 206 basis points over last year and improved 198 basis points for the first quarter, adjusting for the onetime gain in the prior quarter. Please turn to Slide 9. Turning to EBITDA margins, cash flow and the balance sheet. EBITDA margin in the quarter was down 65 basis points, impacted by lower operating leverage and the increase in business development expenses. We are investing more in the business development, particularly in the Americas design business to take advantage of the opportunities we're seeing in the market. While this quarter's growth has impacted margins, we continue to make progress in reducing our overhead costs. By the end of next fiscal year, we expect to achieve real estate savings of $38 million annually for consolidation and more efficient use of our office space. Based on actions we're taking in 2014, we're on track to beat a run rate of savings of $20 million by the end of this year. Real estate is just one of the key margin improvement initiatives we have underway, and we expect to continue to update you on our progress on these other initiatives during future calls. Free cash flow for the quarter was negative $44 million, which brings our year-to-date cash flow to $73 million or 74% of net income. The swinging cash flow between quarters was primarily due to the timing of large construction payments. Looking ahead, we are on track to achieve our full goal -- our full year goal of delivering free cash flow equal to net income for this year. This quarter, we did not repurchase any shares because of our low cash flow. Our overall target is to dedicate approximately 50% of our free cash flow towards share repurchases. Since the program began in August 2011, we have returned 64% of our free cash flow and have the capacity to repurchase another $340 million under our current program. On an ongoing basis, we evaluate share repurchases based on our balanced capital allocation strategy. Despite the timing of cash flow in the quarter, we continue to carefully manage the balance sheet, reducing our debt in the quarter and keeping our net debt-to-EBITDA ratio well below the prior year. We have ample liquidity to support the business with $503 million of cash and $986 million in undrawn borrowing capacity under our new revolving credit facility. Looking ahead, we will continue to execute on our disciplined capital allocation strategy, which includes investing in organic growth initiatives, making strategic acquisitions that will strengthen our competitive position by either adding to the portfolio of services that we offer or expanding our geographic reach and opportunistically repurchasing shares. Please turn to Slide 11. This brings me to the guidance for the remainder of the fiscal year 2014. In light of the slower-than-expected recovery of our Americas design business, it is our expectation that full year EPS will be at the low end of the range of $2.50 to $2.60. This guidance assumes slightly lower NSR from the previous year and higher EBITDA margin. For the year, we expect a tax rate of 29%, a diluted share count of 98 million, which reflects no further share repurchases. And now I'd like to turn the call back over to Mike, who will provide highlights from our geographies and his closing comments. Mike?
Michael S. Burke: Thanks, Steve. Please turn to Page 12. We saw encouraging signs of growth and new opportunities in key markets, supported by our integrated delivery model and our ability to deliver on all project life cycle components: design, build, finance, and operate. Our vision to be the world's premier fully integrated infrastructure company is being realized in our new business wins, and each of these 4 components is strong evidence that our model is working. Our construction services business led the way with $1.8 billion of gross revenue wins globally, bringing our year-to-date total to over $3.5 billion. Now I'll provide an update on our key geographies and markets, starting with the Americas. Please turn to Slide 13. U.S. commercial construction is showing clear signs of resurgence, as predicted by 2014 estimates for a high single-digit increase from 2013 levels. We are seeing strong activity in major cities across the country. Also, foreign direct investment in the U.S. is providing to be a substantial funding source. We are pursuing $7 billion in projects with Chinese investors and are already under contract for Phase 1 of the Metropolis project with China-based Greenland Group. This project is a $1 billion mixed-use residential, hotel and retail project located in Downtown Los Angeles. We have a clear differentiator in this space due to our significant client relationship with China. We are also seeing increased activity beyond commercial construction in the U.S. Proposed public budgets at the state and local level are beginning to reflect higher infrastructure investments in roads, bridges, water treatment and school construction. While these are positive future indicators, as Steve mentioned, there are improvements in the previous quarter, our Americas design business is performing below expectations. While the environment remains challenging, we are seeing encouraging signs of pipeline activity and are getting good traction in certain areas such as transportation and environmental services. Wins in these markets were up 8% and 25%, respectively. As many of you are aware, our business tends to correlate with GDP and the geographies where we operate, and we are hopeful that as the U.S. economy continues to recover, this will spur growth in domestic infrastructure spending and translate to organic growth. Turning to the U.S. government services business. We are executing well on our strategy to grow our higher-margin non-Department of Defense business. The budget resolution is starting to free up the logjam of projects. This quarter, we booked more than $700 million in MSS wins and over $1 billion in the previous quarter. This diversification and expansion of the business is evident in the funding profile of our backlog. Today, 22% of the funding is from the Overseas Contingency Operations or OCO budget, down from 81% a year ago. We are quite proud of our success in diversifying this business into new and more stable revenue sources. In Europe, the Middle East and Africa, our business continues to perform well, and we anticipate another solid year in 2014. The outlook for our U.K. business remains positive, especially in rail and highways. Year-to-date, our U.K. revenue is up 10%. Performance in Eastern Europe also remain strong, where we are up more than 40% for the first 2 quarters of the year. In the Middle East, we are ramping up resources required for the large social and infrastructure programs we continue to win, and the spending in this region shows no signs of slowing down. Saudi Arabia's 2014 budget plans call for $200 billion of investment in transportation and infrastructure projects. Qatar plans to spend $200 billion over 5 years in the area of transport, electricity, water and housing as they ramp up to host its 2022 World Cup. Recent wins in the region include a major expressway in Qatar and Phase 2 of the Etihad Rail project in the U.A.E., a proposed 1,200-kilometer rail network linking major cities and connecting to the GCC rail network that serves the remaining 4 Gulf state countries. South Africa continues to serve as a solid foothold for activities on the continent as we address strong potential in the mining, energy, rail and water markets. Net service revenue in Africa was up 34% in the quarter. Now on to Asia. Urbanization continues to drive infrastructure demand in China. According to the World Bank, in the next 15 years, China's urban population will comprise 70% of the country's residents, up from just 50% today. That's an increase of about 13 million residents per year. Our results in the quarter continue to reflect this macro trend, with backlog in China up 10% in the prior year and headcount up 7%, with close to 6,000 employees now serving China's growing demand. We are enthusiastic about these developments and believe our well-established reputation and relationships in China solidly position us to participate in new opportunities in this large and lucrative market. We also see demand in other Southeast Asian markets such as Singapore, Malaysia and India. Backlog in this region is up nearly 10% from a year ago, only one of several key projects in transportation and water during the quarter. As I mentioned, we have rightsized our operations in Australia. The backlog, following a decline for nearly 15 months, has stabilized. Importantly, the operating results are improving as reflected in the significant upturn in utilization and positive operating income in the quarter. Prospects in the mining sector are scarce, but we have a good pipeline of opportunities and business structure, particularly in transportation. Turning to AECOM Capital. During the quarter, we committed an additional $20 million of projects, leaving $60 million of remaining capital of the original $150 million. We will eventually look to launch a second fund, which will include capital from third parties, as we continue to grow this business and further increase our market visibility as a leading integrated delivery firm. In summary, we are making significant strides in strengthening AECOM to achieve our vision of becoming the world's premier fully integrated infrastructure company. We firmly believe our model is the key to long-term sustainable growth. Our success will depend on strong and consistent delivery, and our team is intensely focused on execution. We have made some hard decisions to ensure the long-term strength of AECOM, and they're starting to be realized. Looking ahead, we will remain focused on ensuring AECOM has the expertise and robust integrated platform needed to capitalize on the new opportunities around the world. With that, I would like to open the line up for questions.
Operator: [Operator Instructions] And our first question comes from Andrew Kaplowitz from Barclays.
Alan M. Fleming - Barclays Capital, Research Division: It's Alan Fleming standing in for Andy this morning. I want to start with a question about your North American private construction markets. You talked about some growth there. Can you talk about the visibility you have into those markets and where you're seeing the most momentum? Is it becoming more broad-based? Are you still seeing isolated pockets of better activity?
Michael S. Burke: Yes, sure. Yes, first of all, the construction activity is fairly broad-based. Historically, the majority of our work in the vertical construction market was in the Northeast, Northeast United States. That has expanded to Washington, D.C., to Florida, to Chicago and to Los Angeles. In fact, a year ago, we had no projects underway in tall vertical construction in Los Angeles. We will soon have 4 contracts, 4 tall buildings under contract in Los Angeles. So we are seeing activity broad-based across the United States in the major markets because that's our focus. But in New York, the activity is reaching the 2007 peak levels again. So that is the market where we have the strongest expertise, the market where we have the most resources, and therefore, we continue to have great success in that market.
Alan M. Fleming - Barclays Capital, Research Division: Okay. That's helpful. And so more broadly speaking, what do we need to see for the Americas design business to really start to improve? And when are you now expecting to see an inflection in organic revenue growth as these new awards start to flow through?
Michael S. Burke: Sure. Let me take that question twofold. First of all, from a broader company-wide perspective, when do we expect to see these record wins translate to NSR growth, we're cautiously optimistic on our growth due to the improving record wins and backlog. And I think there's a couple of ways to look at it. First of all, carve out the MSS segment, as we know, our organic revenue has declined in the MSS segment because we have strategically repositioned that business away from the high-volume, lower-margin work and positioned it into newer, lower-volume, higher-margin work, which has improved our profitability, and I think you see that clearly in our numbers. So when I look at the PTS segment, the PTS segment is flat this quarter. That's the first quarter in a while that the PTS segment has been flat. We have been slightly down for several quarters in a row now. So first of all, we see a flat quarter on the PTS side. The Americas piece of that is the first quarter in a while where we have a positive book-to-burn ratio. And so we see, in the wins, anyway, we see an inflection point this quarter in the U.S. PTS design business. So that is encouraging. The other challenged market that we have is Australia. I was in Australia last week, and that market feels, to us, like it has hit the bottom and the opportunities that are in front of us right now look better and brighter than they have in the past 18 months. So those are the 2 challenged markets. And, of course, the remaining markets of China, Europe, Middle East and Africa, as you heard us say in the prepared comments, are also been growing nicely for the past year. So we're cautiously optimistic that this organic growth comes back sooner rather than later. I can't tell you exactly the quarter that, that comes about, but we're cautiously optimistic it will be sooner rather than later.
Alan M. Fleming - Barclays Capital, Research Division: Okay. And if I could squeeze one more in, how much restructuring did you have in your Australian business this quarter? And is this the last of it?
Stephen M. Kadenacy: There's probably a little bit more that's fairly de minimus in Q3 and 4, and this quarter was maybe $2 million.
Operator: Steven Fisher from UBS is on line with a question.
Steven Fisher - UBS Investment Bank, Research Division: You mentioned that you're spending more on business development. Can you talk about -- a little bit more about what that means exactly and how quickly you think those efforts, in particular, can translate into new work? And is that more focused in the Americas or is that broadly?
Stephen M. Kadenacy: Yes, that comment specifically was more about the Americas and why there was some margin pressure in the quarter because of the percentage of SG&A, or percentage of NSR, we're spending a little bit more than we normally would to react to the opportunities. And the rest of that explanation, I think, rolls into the comments that Mike was just making. We're seeing the benefit of that, as Mike mentioned, the book-to-burn ratio in the Americas, and the wins up sequentially 20-plus percent. So we're just reacting to those opportunities, but in the short run, it does have some impact on our margins, particularly in PTS.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then I guess shifting over to the MSS side of things. How -- what do you think the trajectory of the Afghanistan exposure is there and how you see that running off over the next several quarters?
Michael S. Burke: Yes, first of all, that business has been coming down for quite some time. Right now, it's about 4% of our total operating income of the company. And so as we reposition that business, we'll see it continue to come down. But trying to get a sense for how fast the troop redeployment will occur is difficult, but right now, it seems to be somewhat steady-state for the next 12 months. But it's only 4% of our operating income today.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then lastly, I know you've reiterated your 5-year cash flow expectation. Just wondering how any underlying assumption within that, that get to the overall similar outcome have changed, if at all, since you gave your initial outlook 1.5 years ago.
Stephen M. Kadenacy: The question is are there underlying assumptions changing within the full year or the full 5-year forecast?
Steven Fisher - UBS Investment Bank, Research Division: Yes.
Stephen M. Kadenacy: No. I think that, in general, we still look at achieving cash flow equal or greater than net income is about right for our company. There is some mix within our business of a bit higher DSOs in some of our higher growth markets in Asia and the Middle East, but we're actually doing a good job of managing our working capital there and still producing cash. So you might see DSOs fluctuating within that band, but overall, we're still happy with how we're performing. And our working capital came down during the quarter despite the negative cash flow, which tells us that we're still on the right track.
Operator: And the next question is from Tahira Afzal from KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess my first question is really in regard to some of the non-res opportunities you're seeing in the U.S. Are they sort of unfolding slightly slow for you in terms of release over here as well? Any kind of color you could provide on that. What is your initial expectations? So is the volume of activity you're seeing kind of in line with what you thought?
Michael S. Burke: Tahira, I think I heard you correctly that you're asking for the level of activity that we are seeing on the non-residential side. Is that correct?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Yes, it's just because the ABI Index, which a lot of the community follows, has been kind of mixed. And I know you do more of the front-end work, and your bookings have been strong, which is great. I just -- I'm trying to reconcile some of the macro data points with what you think seems to be really good.
Michael S. Burke: Yes, I mean, I see the same ABI Index data as you see. And the consensus is when it drops below 50, people get concerned. But the markets that we participate in, we have -- we see 0 correlation to that ABI Index of slightly less than 50. The activity in the markets, in the major markets, and of course, the ABI consolidation as a whole hosts the different markets, the markets that we are playing in, the vertical, construction market is hotter than it has been since 2007. The non-residential markets on the design side for us continue to perform well. Even after the quarter, our wins in April were up 7% over our monthly average year-to-date. We had a book-to-burn of 1.4 in the month of April alone. So we continue -- and that's just -- that's in the Americas design business that I'm talking about. So we continue to see some pretty healthy activity, and it doesn't -- for us, it doesn't correlate or reconcile with the ABI Index.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Great. And my next question is really on the infrastructure side. We've seen the California and the Northeast markets come in fairly strongly from some of your peers and some of the awards activity and trade shows we've been to. If you really look outside of these 2 hubs where we've seen very large complex projects being released, could you talk a bit about what opportunities you're excited about within the U.S.?
Michael S. Burke: The water design build business is -- we've had a really good run recently in the water design build business. And so that is a market that has been sluggish for quite some time and now seems to be picking up. But it's not just the 2 major markets of New York and L.A. We are seeing transportation projects in strange places like the Dakotas that's related to the Bakken field shale gas growth there. So we are seeing opportunities across the U.S. in water, in transportation. You heard Steve mention earlier that the environmental business in the U.S. is probably our fastest-growing business in the U.S. right now. And a lot of that is being driven by environmental permitting-type work related to the industrial sector. So while we don't have a large share of participation in industrial design construction, we do have a significant market share in the environmental permitting that tags along with the growth in industrial sector construction. So those are some of the markets that are very encouraging for us beyond pure construction that is growing really well and beyond our U.S. federal government business that is growing very nicely based on the wins you've seen here today.
Operator: And the next question is from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: I guess first thing, maybe for Steve. Just in terms of the cash flow in the quarter, the sharp drop-off in free cash flow, and we don't have a complete balance sheet yet, but is it working capital that caused the big shift or...
Stephen M. Kadenacy: We came down in AR net actually by about almost $50 million, but our AP in accrued expense movement was significant, as I mentioned. In last quarter's call, we had a significant payment come in towards the end of the quarter with [indiscernible] on a construction project that we ended up paying on this quarter. So you saw a negative shift of about $135 million on that side of the equation. So fundamentals, I still think, are fairly positive, and year-to-date, we're still positive in terms of our cash flow, which AECOM historically, as you know, tended to burn cash in Q1 and start to produce positive cash in Q2. Overall, we're doing better than we have on a historical basis in terms of the total cash that we're producing relative to our net income for year-to-date. So I think that cash is one of those KPIs that tends to be lumpy, and this was one of those quarters. However, we're fairly proud of how we managed the balance sheet during a negative cash flow quarter, where our net debt-to-EBITDA ratio is right where we want it. Our total debt came down. We were able to bring some cash home from offshore to pay down the debt. So the management side of that, I think, is still good, and the fundamentals of our cash flow for the full year still look quite good.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And there's nothing in the scheduling of receivables or forward sales of anything that should be significant in the second half?
Stephen M. Kadenacy: There's always significant payments that we're chasing with clients, but there's nothing that pops into my mind that is worthy of calling out now.
Operator: Our next question comes from Sameer Rathod from Macquarie.
Sameer Rathod - Macquarie Research: I might have missed this, but can you help me understand why backlog has been growing since basically 2011 but revenue growth continues to decline? Is there a problem with the backlog you have and you're unable to convert it? And as a follow-up, are you having problems converting awarded backlog to contracted backlog?
Michael S. Burke: So listen, the backlog has continued to grow for a number of reasons, but mostly, the difference between organic growth and the growth in the backlog is due to the size and scale and longevity of the projects we are winning. So the good news is that we're winning big projects. The challenging part is those projects tend to spread over longer periods of time. And so the -- when you win a large construction project today, it might not start in the ground for 9 months. And so the good news is it's -- they're long-term, they give us greater visibility for a longer period of time and the cost of selling larger projects is less than the cost of selling multiple small projects. So all of it is good news. It just takes a longer period of time to recognize that revenue.
Sameer Rathod - Macquarie Research: Right. And I understand that. But, I mean, if I look at your backlog growth, I mean, it's been almost a couple of years where your backlog has grown. So are you saying these are even longer-term projects where stuff that you put in backlog a couple of years ago isn't hitting your top line?
Michael S. Burke: Yes, that's right. Some of them are multi-year contracts. Many of them are significant multi-year contracts.
Sameer Rathod - Macquarie Research: Okay. I guess my next question is I know you commented on the strategic buyback, but if I look at your share count, this is the first quarter that we've seen an increase in about 3 years and you've bought back stock in the past when cash flow from operations has been negative. So was there something specific about this quarter or the valuation of the stock price that made you a little more cautious?
Michael S. Burke: It has nothing to do with the valuation of stock price, rather, as Steve mentioned, we had a cash -- a negative cash flow quarter, and consequently, we chose not to buy stock back. I don't think we try to predict our stock buybacks on a quarter-by-quarter basis, rather, we give guidance as to our longer-term expectations. And we have exceeded the 50% goal that we've set out there for a couple of years now.
Sameer Rathod - Macquarie Research: Okay. And I guess last -- one last housekeeping question. Was there any factoring of receivables in the quarter? Sorry if I missed that.
Stephen M. Kadenacy: No, there were and I haven't mentioned it yet. So it's about $30 million for the quarter.
Operator: And we have no further questions at this time. I would like to turn the call back over to Mr. Mike Burke.
Michael S. Burke: Okay. Thank you, operator. I'd like to thank all of those participating on the call today, and I look forward to seeing you at our Investor Day later this month here in Los Angeles. For those of you that plan to participate, we'll look forward to seeing you, and for the rest of you, we will look forward to talking to you at our next quarterly earnings call. Thank you, and have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.